Operator: Good day and thank you for standing by. Welcome to the Suncor Energy Fourth Quarter 2021 Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]  I would now like to hand the conference over to your speaker today, Trevor Bell, Vice President of Investor Relations. Mr. Bell, the floor is yours ..
Trevor Bell: Thank you, operator. And good morning. Welcome to Suncor's fourth quarter earnings call. With me this morning are Mark Little, President Chief Executive Officer; and Alister Cowan, Chief Financial Officer. Please note that today's comments contain forward-looking information. The actual results may differ materially from the expected results because of various risk factors and assumptions that are described in our fourth quarter earnings release, as well as our Annual Information Form. Also those are available on SEDAR, EDGAR and our website, suncor.com.  Certain financial measures referred to in these comments are not prescribed by Canadian GAAP. For a description of these financial measures, please see our fourth quarter earnings release. Following formal remarks, we'll open up the call to questions. Now, I'll hand it over to Mark for some opening remarks.
Mark Little: Great. Thanks, Trevor. And good morning. Thank you for joining us. I wanted to begin by talking about the incidents that we outlined in our recent press release. On many occasions inside the company and externally, I've talked about my personal commitment to safety above all else, and our drive to operational excellence.  I know that many are questioning our focus on this given the recent fatality and operational challenges. These outcomes are unacceptable. And we know that we must do better. I and the Suncor leadership team are deeply committed to engaging our workforce so everyone goes home safely every single day, and improving the operating performance of our company. I have a comprehensive plan endorsed by our board, we're executing this plan to address these concerns.  Despite these challenges, we had several accomplishments in the quarter. We delivered the best quarter have adjusted funds from operations of $3.1 billion. On a per share basis, this is $2.17 per share and exceeds our previous quarterly per share record which was set in Q1 of 2014 by 11%.  We upgraded a combined 515,000 barrels per day of synthetic crude oil, which marks our third best quarterly results due to 99.90%. Utilization rates at base plant and Syncrude respectively. We produced 151,000 barrels per day of bitumen from our In-Situ operations and Fort Hills which resumed to train operations in mid-December.  Our E&P production of 77,000 barrels a day reflects the Golden Eagle disposition. And in the downstream we achieved nearly $800 million of adjusted funds from operations with 96% refinery utilization. And once again our Canadian refineries outperformed the Canadian refinery average utilizations.  In terms of full year results, we continue to strengthen the company by reducing our net debt by nearly $4 billion. We returned nearly $4 billion of cash through the doubling of our dividend and share buybacks, and that's 40% of our adjusted funds from operations within the year. Based on our average 2021 average market cap, that's a 10% cash return to our shareholders.  Looking at our 2021 full year performance, Suncor generated adjusted funds from operations of $10.3 billion. Our regional oil sands assets contributed record annual funds from operations of $6.9 billion despite completing the largest maintenance program in our history. These results reflect accretive investments including increasing the utilization of our Suncor-Syncrude interconnecting pipeline, higher volumes from Firebag the bottlenecks, improved margin capture through our trading logistics capabilities, and continued cash savings from reclamation using our past technology.  I'll now pass it to Alister to go through the quarterly financial results.
Alister Cowan : Thanks Mark. As you know that adjusted funds from operations per share of $2.17 is an 11% improvement compared to a previous quarterly record. This reflects the value of a buyback program as we lowered our share count by approximately 6% during the year, acquiring and cancelling 84 million common shares an average price of CAD27.45 per share.  Let me walk through our results. Oil sands generated Q4 adjusted funds from operations of $2.2 billion, but obvious realization of CAD87 per barrel. On an annual basis, oil sands cash operating costs are $25.90 per barrel, for the full year ended up below the guided rains, while observing a $1 per Gigajoule eco increase in natural gas prices versus our original guidance assumptions. This equates to approximately $1 per barrel on cash cost basis.  Fort Hills' 2021 cache operating costs are $41.35 per barrel reflects one train operation for almost the entire year. And as we look to 2022, we're targeting cash operating costs of $25 per barrel at the midpoint with the two train operation. Lastly Syncrude’s annual cash operating costs of $35.20 per barrel with slightly above the guided range impacted by the December operational incidents. The impact of higher natural gas prices was approximately $0.50 cents per barrel on a cash cost basis.  E&P delivered $425 million of adjusted funds from operations in the quarter, reflecting an average price realization of CAD102 per barrel.  Moving to our downstream results, we generated $765 million of adjusted funds from operations with the 96% refinery utilization. Although diesel demand is back to normal rates, gasoline demand was lower by 10% versus Q4, 2019 due to renewed COVID restrictions in Canada, particularly in Ontario and Quebec. Early in Q4, we were able to use our upgraded Burrard terminal to export product and maintain refinery throughput, given this temporary dip in domestic demand. But as you will appreciate these are lower margin bottles and our domestic retail channels.  I should note the advantage logistics, infrastructure and marketing teams provided during the severe BC flooding in Q4. We were able to keep our customers supplied across BC despite significant challenges that caught up all transportation links to Vancouver from the rest of Canada. Our Burrard terminal will became an import terminal for refined product in Vancouver, keeping it supplied.  Our 2021 fiscal year capital spend of $4.4 billion was within the provided guidance range, but higher than our previously communicated midpoint of $4.2 billion. This was due to increased spend of Syncrude and Firebug late into the year as a result of the operational issues. The earlier receipt of materials for 2022 turnarounds, as we manage supply chain, and accelerated progress payments on the cogen as milestones was achieved slightly faster than expected.  In terms of shareholder returns, during the quarter we’ve returned $1.2 billion to shareholders in the form of dividends and buybacks, and at the same time reduce our net debt by roughly $500 million. On an affiliated basis, we returned nearly $4 billion to shareholders and repaid nearly $4 billion of debt. As a result, we reduced the number of outstanding shares back to 2015 levels, and return their dividend and net debt by a balance back to 2019 levels.  As it relates to our guidance, our only changes to the business environment for higher commodity prices, which of course increases our cash tax and royalty ranges slightly. We've also updated maintenance schedules for the year within the Investor Relations Day.  Subsequent to the fourth quarter Suncor’s Board of Directors approved a renewal of the company's share repurchase program for up to 5% of Suncor’s issued and outstanding common shares as of January the 31, 2022. This program will begin when the 2021 buyback program expires on February 7, 2022.  I’ll now pass it back to Mark for closing remarks.
Mark Little: Thanks, Alister. Consistent with mines in the region we too had some challenges in January at our mining operations which resulted in a slower start to the year than we expected. Q1 production will reflect this softness, including a reduction in shipping rates at Syncrude, as we're accelerating some major maintenance on our hydrotreating and hydrogen assets into the quarter to maximize our full year production.  As a result, we're expecting Q1, 2022 production to be consistent with Q4, 2021. However, our 2022 production guidance remains intact. As I currently look at each asset, its nameplate capacity our base plant upgrader carried its fourth quarter 99% utilization momentum into January. In-Situ assets are operating over 95%; Syncrude is operating over at 90%; and we're working to stabilize Fort Hills and expect to achieve our annual production guidance for this asset.  On the cost side, we will continue to drive down the cost structure of our business by increasing our workforce productivity by our targeted 10% through implementation of enterprise wide systems and processes, continued digitization of our operations and capturing Syncrude synergies as we previously communicated. This is expected to result in a year-over-year controllable cost reduction across the company.  Our capital program of $4.7 billion includes investments and highly accretive economic growth at Terra Nova slated to come online by the end of this year, and In-Situ well pads, Forty Mile Wind Farm and the cogen at Base Plant. At the same time, we consistently evaluate all of our assets in the portfolio. We've initiated a sales process to determine interest for Norwegian E&P assets. We also intend to assess market interest for part of our interest in the UK Rose bank development later this year as we move closer to sanction, which is consistent with our longer term plan for this asset.  In 2021, our capital allocation policy favored higher debt reduction bringing the balance sheet back the 2019 levels. This year will allocate free funds flow after the dividend and capital program evenly so 50-50 between share buybacks and net debt reduction, which is expected to deliver an even higher rate of shareholder returns in 2022 versus 2021.  As many are looking at the strong macro environment, Suncor is well positioned in 2022 to deliver higher production and substantial free funds flow increase with a clearly defined capital allocation framework that accelerates shareholder returns. My commitment to you is to further strengthen our operational excellence to improve some course performance.  And with that, Trevor, I'll turn it back to you. 
Trevor Bell: Thank you, Mark and Alister. I'll turn the call back to our operator to take some questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Neil Mehta of Goldman Sachs. Your line is open.
Neil Mehta: Good morning team and Happy New Year, Mark. 
Mark Little: Thanks, Neil.
Neil Mehta: Mark. I guess the first question, and this where investors have certainly been focused here over the last couple of weeks is around the culture of safety. And appreciated your comments here around the most recent incidents. But just talk about what mechanisms and safeguards that you're putting in place to mitigate these types of risks going forward? And also the culture of accountability within Suncor? And how you're holding your team to a higher standard? Does that make sense?
Mark Little: Yeah, thanks, Neil. It's obviously -- I mean a CEO that accountability for safety and operational excellence is with me, period. Like I own this. And so several actions have been taken to address these concerns.  In September, I realigned the leadership team to sharpen our focus at the executive level and at my leadership table on operations. And so, we brought two more long experienced operators to the table.  So I have four of the executive leadership team focused on it, Mike MacSween is accountable for all our mines and upgrading; Shelley Powell is accountable for our In-Situ and E&P business; Kris Smith is actually accountable for our refining, marketing and distribution system and Bruno Francoeur is accountable for the environmental health and safety, the technical excellence at the center including things like operational risk management. Some of these are new groups that aligned with our assessment of global best practices last year.  We also concluded last year assessments of the safety and field particularly in mines, and particularly with the contractors. And so we completed that independent review. As a result of that we've spent quite a bit of time reducing the prescriptive procedures, which quite frankly, we found out a lot of people are not using and following or there was a gap between the practice and the actual procedures. And we're closing the gap and with bigger engagement or more engagement with the frontline.  We're implementing standard risk assessments across all of our sites versus them being specific to the individual assets, so that if we pick up something at one site, we can test that risk across all the other sites as well. And we're working on our culture and leadership engagement with the workforce at the frontline.  And finally, we have been working on this plan for a period of time, but it's just essentially got finalized is to implement collision avoidance, mitigation, fatigue management on all our mine mobile equipment. We're expecting that to be done in the next 18 to 24 months. This is a technology that's used globally in mining, but it is not used in oil sands. And so we'll be the first oil sands company to universally use this across all of the mines. And this is something that tech has really helped with and providing us some of their insights from their global experience around running the mines. So that's the plan.
Neil Mehta: Thank you, Mark. And the follow up is just on capital returns. You guys have been aggressive around the buyback, obviously reset the dividend higher. Just talk about your framework for return of capital this year. And what type of cash return yield can investors expect?
Mark Little: Alister, do you want to talk to that? 
Alister Cowan : Yeah, I'll do that. One. Good morning, Neil. On the capital allocation, after dividends, the CapEx we're allocating free cash flow 50-50 between buybacks and debt reduction. So we would expect to see similar if not higher cash return to shareholders than you saw in 2021 based on current stock prices.
Operator: Thank you. Our next question comes from Greg Pardy of RBC Capital Markets. Your line is open.
Greg Pardy: Thanks. Thanks, good morning. And Mark, thanks for all the candidness and what sounds like a very well defined plan here as we go ahead. Look, I'll come back to the operations in a second. I wanted to just ask you about pathways completely shifting gears for a minute your founding partner there. Obviously, there's negotiations going on in terms of investment tax credit on CCUS [ph].  So question is kind of twofold. A, how is how's it going? And then secondly, is how big do you think you can be? I mean, we can't think of any other jurisdiction where you've now got what six companies working together like this?
Mark Little: Yeah, Greg, great question. Thank you. Pathways I think is going great. One of the things we've realized is I think we have the largest group and coalition of companies globally in our industry that are working to drive down emissions. So I'm very proud to be part of the team to be able to do that.  We have a plan to take the entire industry to net zero by 2050. Canada's oil sands represents about 3% of the world's production. And I think it's going well. Basically, the whole focus right now is finalizing the pore space in Alberta. So we have a place to put the CO2 we're working out with the province. And also working with the federal and provincial government, for us to co invest the returns that we're getting from the industry into driving down the emissions to not only get to net zero but to sustain the returns for decades to come of the industry. And I think those conversations are going well, but that we still have a ways to go.
Greg Pardy: Okay. Okay, great. Here's the nitpick question. Just want to make sure I've got you straight. So it sounds like additional work is going on at Syncrude in terms of I don't know whether it's overburden or maintenance. So a little softer there, I think you mentioned and then Fort Hills I think you're stabilizing. But did I hear your right sort of like overall production in first quarter similar to the fourth quarter? So I'll make sure I got that right.
Mark Little: Yes, it is. And I mean, some of this is the softness in the air and some of this as we've decided to take down the hydrotreaters and hydrogen at Syncrude, just to give us more run room and maximize production out of that asset in 2022. 
Greg Pardy: Okay, all good. Thanks very much, Mark. 
Mark Little: Thanks, Greg.
Operator: Thank you. Our next question comes from Phil Gresh of JPMorgan. Your line is open.
Phil Gresh: Yes. Hi. Good morning. My first question is following up on Greg's question there, more specifically on Fort Hills. Could you just elaborate a bit more on where you stand today on Fort Hills production? And maybe about stabilizing ramping how you think about that cadence through the year, both on production but also just on the cost side of the equation? Is this a situation where you might start higher than the guidance on costs and work your way down and exit rate maybe even lower than your guidance? Because I know you ultimately want to get to a much lower level. So just any additional thoughts on Fort Hills?
Mark Little: Yeah, thanks, Phil. Yeah, I mean, obviously, given the cold conditions all the mines struggled coming in. So Fort Hills in January, were a little bit below our annual range that we had in January. But we think we'll make this up. The operations bouncing around a little bit. Quite frankly, where we're kind of somewhere between 70% and 106% utilization on the asset. And this is just getting lined out that it's getting sorted out. And actually, it's going quite well. We have full expectations that will meet our guidance on this asset for the year, which is 90% of nameplate capacity. And the focus is to get to mid-20s. So we'll be a little higher at the start of the year and a little lower at the backend.  And then the focus with the partners is one, on the effectiveness, get the oil out of the ground. And then secondly, on efficiency as you pointed out, around getting costs out. And both of them are getting worked actively through this. And I think we've had very good alignment with the owners on these priorities.
Phil Gresh: Okay, got it. Thank you. My second question is just with where the net debt ended the year, at about $16 billion [ph]? I know in October, you had expected it to be closer to $15 billion. Obviously, I'd see the working capital. I don't know if the rest was December weather. But just I love to hear Alister’s thoughts on kind of how you reconcile, what you're hoping to achieve and where you finished?  And then with any of the things like working capitals, does any of that reverse? Or is that just oil price effects? How do we think about the progression from here?
Alister Cowan : Yeah, thanks. Well, there was a couple of issues where we didn't quite get there as we expected. The first one, as you highlighted was the issues with production. That's included Fort Hills and Firebag [ph] in December that we've highlighted. There was also a couple of cargoes in E&P that was supposed to go out at the end of the year, that didn't quite get nearly went over the first week of January. So that impacted the number as well.  And then we had expected a slightly stronger Canadian dollar at the end of the year. And when that was probably a couple $100 million on our bad debt. That was really the main difference between where we expected to be and where we ended up. On the working capital, as we move to the year, if our prices are similar to what they are today, you're not going to see a lot of moving and working capital. We do have the cash tax payment going out in February in Q1, but that's the only kind of significant change I'd expect to see in working capital.
Phil Gresh: Right. Okay. So as we look at ‘22 then, you're talking about the 50-50s in terms of the ability to reduce that further by that incremental 50% done. That's the way we should frame that? 
Alister Cowan : Yes. 
Phil Gresh: Okay, got it. Thank you
Operator: Thank you. And next we have Doug Leggate of Bank of America. Your line is open 
Doug Leggate: That was close enough. Happy New Year from me as well, guys, as Alistair knows New Year in Scotland goes on till June. But I'm delighted to be on the call.  Guys, I've got two questions if I may. Mark I want to change type just a little bit ask about the international business. Obviously, you acquired your current assets in Norway, I guess a couple years ago. Now they're for sale. Rosebank you've talked about. What is the thought to the future longevity of the International assets, given the oil environment at an opportunistic time to think about sale and avoid that long-term abandonment, especially now you've got Burrard 2 coming online?
Mark Little: Yeah. Doug, great question. It's interesting with our E&P business, as we've said before. When you look at our oil sands production, we are super highly concentrated. You literally can drive to all our oil sands assets. In two hours, you could probably drive to all of them. And so they're very concentrated. So we've seen this as a great diversification of kind of from a production perspective, really liquid barrels Brent price exposure and not subject to all of the infrastructure logistics that are often challenging.  That said, and in Norway, we've been in Norway for a decade exploring and such a lot of these developments that are going on are developments that came from that work associated with it. I think our view is, is that as time goes on, we continue to refine and optimize our base business. Our view was as Norway is something that we should be exploring. With Rosebank, we really wanted to try and get clear on the development plan and the path forward. Our view was is we would always step down and go down to about half of our current interest before we went to appropriation on this project. The project actually looks really good. And we think the operators doing a good job.  In the big scope of it we obviously have continued to be active on the East Coast of Canada and in the North Sea. The North Sea has been less significant with the sale of Golden Eagle, and we'll see how it goes with Norway. But, our focus is primarily in our core integrated business. And so we're testing the waters on a few of these assets.
Doug Leggate: We'll keep watching. I guess my second follow up question is Slide 8 is obviously the whole story here. Post the Syncrude operatorship and the trajectory are through 2025. I don't know if I missed it. But I just wonder if you could give us an update at the end of ’21 how do you see that trajectory? Any changes -- are you comfortable still, you're on track? And maybe how much of the $2 billion to $2.15 billion free cash funds increment do you think you have now achieved or unreal at the end of ‘21? I'll leave it there. Thanks.
Mark Little: Why don't you start Alister and --
Alister Cowan : Okay, thanks, Doug. If you look at 2021, we achieved roughly $465 million off the $2.15 billion not really was given out of margin capture in the upstream and downstream business provided by our supplier trading and marketing operation. And you can see that in some of the realizations we've been able to achieve, particularly in the downstream business. Its reduction in ARO spend around treating tailings, a couple of $100 million.  As we move into 2022, we're focusing on enhancing and building on those margin enhancements as well as we expand particularly in the product streaming business. But we're beginning to achieve our cost reductions as we implement their enterprise wide systems and processes in the first half of the year. So you'll see those cost reductions coming through in the second half of the year.  We're targeting on top of the $465 million we achieved last year, another $400 million in 2022.
Mark Little: Maybe I would just add to that. One of the things about this is we really want to make sure we keep a huge focus on this. Because this is the key lever for driving shareholder returns. So Bruno Francoeur that I talked about that leads our central group is actually coordinating all of the projects in the stewardship so that we're driving strong accountability in delivering those projects and driving the cash out for him. Alister’s team actually goes in and verifies that. And our internal targets are actually greater than the $2 billion because we know that we've essentially done $2 billion on a risk basis.  So I think the organization's making significant progress and the big event that we have coming up right now is really the implementing standard wide processes across the company and leveraging technology to be able to improve productivity and drive down our cost structure.
Doug Leggate: Appreciate the answers, guys. Thank you.
Mark Little: Thanks, Doug. 
Operator: Thank you. And next we have Manav Gupta of Credit Suisse. Your line is open.
Manav Gupta : Hey, guys. My first question is a little bit on the return on capital employed, there was a good improvement versus last year. I think you hit about 8.6. And I'm trying to understand a little bit as obviously you go forward and try and realize this incremental funds for up to 1.5. Like, is there a targeted return of capital employed you want to achieve in the next three years or five years? If you could give us some guidance or where you would like this number to eventually be in the next three to four years?
Mark Little: Yeah, Manav thanks for the question. I mean, our focus is to get this number to 12% to 15%. We're doing it through optimizing the business. We're doing it through investing in projects that are going to get us 15 plus return associated with it, but that's what we're targeting.
Manav Gupta : Perfect. And a quick question here, follow up on Fort Hills. As you stabilize operations as you bring down the op cost increase the attractiveness of this asset. Is there a desire somewhere to own a little more of it? I mean, there is a willing seller in one of your partners, would the company consider increasing ownership at the right price?
Mark Little: Yeah. Manav, I think we've been very consistent in saying that when we do M&A, they have to be good quality assets, they have to be worth more in our hands than the way they're held today. And thirdly, it needs to be accretive to our shareholders. So are we open to do an M&A? Yes, we are it just needs to be at the right price. And you can apply that to a number of assets in our portfolio. The debts part of this as we feel like our current portfolio of assets is complete. We don't have any major gaps. And so we don't have to do any M&A. So we're only going to do it if this makes eminent sense for the shareholder.
Manav Gupta : Okay. And I think last very quick one is you mentioned during 4Q there were lockdowns in Canada. Gasoline demand did go down 10% versus 19%. Are we seeing a rebound of that? Because your refining is generally a big strength of your. So if those lock downs are beating, is there a possibility that gasoline demand does make a full recovery here, maybe in the first half of 2022? And I'll leave it there.
Mark Little: Yeah. Manav, I think actually in January, they got worse not better unfortunately. But the beauty of it is I would say. And particularly Alister talked about Ontario and Quebec that's particularly true in Ontario and Quebec. But, our view is and you look at the jurisdictions in Canada, it looks like all of these lockdowns are rapidly coming to an end or it's certainly getting less constraining. And so we're starting to see demand coming back already. And we're expecting to see, as you get out to midyear normal demand.  So we think this year, it'll be much stronger demand in Canada than what we saw last year.
Manav Gupta : Thank you for taking my questions.
Operator: Thank you. And next, we have Dennis Fong of CIBC World Market. Your line is open.
Dennis Fong: Good morning. And thank you for taking my questions. The first one maybe is directed towards Alister. It's really just around ideal capital structure. And obviously such a large focus on the capital allocation between debt repayments and the share buyback. In our expectations, you'll be able to reach that $12 billion to $15 billion target closer to year-end of this year, given the higher commodity prices happen to be. Just wanted to understand how aggressively you want to pursue the 9 to 12 by 2030 kind of after you hit kind of this, this $12 billion to $15 billion target.
Alister Cowan : Yeah, thanks, Dennis. If you look at our capital allocation, I mean, it's predicated on having a strong balance sheet. We think that's very important for this industry as we go forward. And we want to be have a leading balance sheet in the industry.  We want to be able to grow or dividend and a little breakeven around the $35 WTI that we've priced we've talked about. But then we also want to be able to return cash to shareholders through a significant buyback program. And you see this executing during the last year. And we'll continue to do so in 2022.  We set our debt targets, 2025 target. And I would agree with you that we have the opportunity to accelerate both buybacks and debt reduction with higher oil prices. And we’re taking advantage of that in certainly this year and going forward. We will continue to drive the debt down if the price allows us to do that and accelerated basis. So we're not stopping when we hit that 12 to 15. We'll continue on to 2030 target. And if we get there earlier, I will be very happy to see it a bit earlier.
Dennis Fong: Great, great. And then the second question that I have is maybe just a follow on to that the $2.15 billion of prefund flow rollout. I know that you indicated back with Q3 results, the kind of realizations of $465 million in 2021 as well as another approximately $400 million here in 2022 realizations of that.  If we look at the schedule that you outlined at your Investor Day, there's maybe another $500 million odd potentially, namely from Forty Mile coming online mine optimization as well as the implementation of digital that coupled with the accelerated debt repayment. How should we be then thinking about the dividend level? As I know that that was one of the major considerations when you doubled your dividends back in Q3?
Mark Little: Yeah. And Dennis, thanks for that. It's interesting. I mean, when we originally doubled our dividend, I think we said like -- essentially, we were catching it up to debt reduction and share buybacks. We were kind of working on what we said at our investor day, our 2023 numbers for some of those pieces associated with it. So we gave 75% of what we had talked about achieving by 2025.  Obviously, the macro environment has changed a lot. Everything is getting accelerated from debt repayments, share buybacks, as well as the dividend. And so, this is something that the board continues to work out. Of course, we're working to continue to achieve what we set in -- as our 2025 targets, we're just expecting it to get accelerated. And, the faster we go on our debt metrics and stuff, the better chance we have on achieving further increases in dividends.  Alister, did you have anything to add to that?
Alister Cowan : Yeah. I think my we said, when we doubled the dividend and in October last year that we would not be looking at it in February. And the board considers the dividend every quarter. And the faster we can get to take costs out of our business and achieve that $2 billion means we will come back and look at the dividend when it's appropriate.
Dennis Fong: Great, I really appreciate you answered my questions. Thank you.
Alister Cowan : Thanks, Dennis. 
Mark Little: Well, maybe just before we sign off, I just wanted to emphasize a couple of the points that I said at the start of this. Like, I know we need to do better. I have a plan. And it's been endorsed by the board. And in fact, it's in execution. And this is critical for us.  We think we have a great company. And we're generating significant free cash flow and shareholder cash returns in 2021. And we expect both of these to be even higher as we get into 2022. And I'm strengthening the balance sheet, making investments for our future to support the continued growth and cash flow and shareholder returns for many years to come.  So thanks for joining us today. I appreciate it. And with that, I'll turn it back to Trevor. 
Trevor Bell: Great. Thank you, Mark. Again thanks, everyone for joining us today. I know it's busy season. We're around all day if you have any other questions. Thank you, operator.
Operator: Thank you, everyone. This concludes today's conference call. Thank you all for participating. You may now disconnect. And have a pleasant day.